Operator: Greetings and welcome to the Conduent Incorporated Q4 2025 Earnings Conference Call. At this time, all participants the formal presentation. As a reminder, this conference is being recorded. Conference It is now my pleasure to introduce your host, Joshua Overholt, Vice President of Investor Relations. Thank you. You may begin.
Joshua Overholt: Thank you, operator, and thank you for everyone for joining us today to discuss Conduent Incorporated's fourth quarter 2025 earnings. Am joined today by Harshita Agadi, our CEO and Giles Goodburn, our CFO. We hope you've had a chance to review our press release issued earlier this morning. This call is being webcast and a copy of the slides used during this call as well as the press release were filed with the SEC this morning on Form 8-Ks. Information as well as the detailed financial metrics package are available on the investor relations section the Conduent Incorporated website. During this call, we may make forward looking statements. These forward looking statements reflect management's current beliefs assumptions and expectations are subject to a number of factors that may cause actual results to differ materially from those statements. Information concerning these factors is included in conduits annual report on Form 10-Ks with the SEC. We do not intend to update these forward looking statements as a result of new information or future events or developments except as required by law. The information presented today includes non-GAAP financial measures. Because these measures are not calculated in accordance with U.S. GAAP, they should be viewed in addition to and not as a substitute for the company's reported results. For more information regarding definitions of our non-GAAP measures, and how we use them, as well as limitations to their usefulness for comparative purposes please see our press release. And now I would like to turn the call over to Harsh. Thank you, Josh. I want to welcome our investors analysts and clients as well as colleagues around the world to this call.
Harshita Agadi: I am confident you will be encouraged by what you hear as we discuss where Conduent Incorporated is headed and how we intend to get there. I also want to say good morning, good afternoon and good evening to my 51,000 conduit colleagues across the globe. Over the past few weeks, I've been energized by the stories I have heard. Stories of teams serving clients with commitment, resilience and professionalism every single day. Thank you for what you do and for the pride you take in representing Conduit. Over the past three decades, I've had the opportunity to lead more than half a dozen companies across multiple sectors. Both private and public. Most relevant to conduit I have founded in the past and led a BPO that scaled globally and eventually list it on the NYSE. Through those experiences I have learned what it takes to build organizations that move with deliberate speed and purpose. Deliver measurable outcomes for clients, generate sustainable growth and free cash flow for investors, and create meaningful development opportunities for all our employees on a global scale. I'm here because I believe Conduent Incorporated can deliver those same outcomes. My expectations are simple and my objectives are clear. It is to lead Conduent Incorporated to consistent year over year revenue and EBITDA growth supported by very strong and durable free cash flow generation. In the BPO industry, these are not aspirational results. They are the natural results of a healthy business with clear strategy disciplined execution, and a relentless focus on serving clients on a daily basis. As clients focus on their business, our focus is to provide seamless BPO and KPO services to enable their daily services smoothly to their clients. Having been in the role for less than thirty days at Conduent Incorporated, it would be premature for me to present a fully detailed long term plan for conduits return to sustained growth, improved earnings and free cash flow. Ladies and gentlemen, this is a turnaround story. The work is underway and we will with you. What I can commit to today is full transparency and cadence. In addition to our normal earnings reports, we intend to host an Analyst Day in New York City where you will have the opportunity to meet our board and other members of the Conduent Incorporated executive team and hear directly about our strategy. Priorities, and execution plan. While the full plan is still being finalized, this is not my first turnaround. Having led multiple transformations in various sectors, I know there are decisive actions that must happen early.
Operator: Actions
Harshita Agadi: that set direction, change momentum, and create the conditions for sustainable results. Those actions are already underway and they inform the priorities I am here to outline. First, and foremost, we will move faster that means faster decision making faster execution, and faster improvement. The senior leadership team has already felt this increased pace and we will only continue to accelerate it. The tone has to be set from the top. Opportunities do not wait and neither will we. Our leaders are being empowered to act and empowerment comes with clear accountability. We must move with speed to capitalize on the opportunities before us. Second, we will apply maximum financial discipline across every major decision especially capital allocation. We will evaluate decision through multiple lenses revenue growth margin expansion, and free cash flow generation. This framework will guide how we allocate capital rationalize parts for the portfolio, manage working capital, and prioritize investments. Third, we will lower our cost structure. This includes reducing corporate overhead, particularly within SG and A and taking a hard luck at our entire technology spend and stack. However, we will not compromise quality, or client outcomes but we must be more efficient in how we deliver our At current levels, corporate overhead and technology expense as a percentage of revenue must come down. Fourth, we will continue to rationalize our portfolio. My goal for Conduent Incorporated is clear. Organic revenue growth resulting in strong free cash flow. To get there, we are reviewing every business categorizing each as either fixed sell, or grow. Businesses that are categorized as fix will operate under formal improvement plans with clear metrics timelines leadership accountability goes hand in hand with that. Businesses that are in the category of sale will be actively marketed with a focus on executing transactions efficiently and at fair value. Proceeds will be first used to reduce debt. Followed by multiple other priorities. The third is growing the businesses that are identified to grow will receive the required investments as well as be unconstrained so that they can grow. Fifth, our qualified ACV plan today stands at 3,200,000,000.0
Joshua Overholt: Our priority
Harshita Agadi: is better conversion rates. Going forward, our priority is not just building pipelines, but consistently converting it. Across each of our businesses, pipeline development and execution will improve in a way that supports sustainable revenue growth. Finally, we will simplify and strengthen our organization deliver on these priorities we will become a nimbler company with fewer layers lower costs and clear accountability. We will reduce organizational complexity that slows decision making and empowers our leaders with full P&L ownership.
Joshua Overholt: I
Harshita Agadi: would now like to hand over to Giles to continue the update on the earnings calls as he will be giving you a very clear update on Q4 which was not under my CEO leadership. Thank you, Giles.
Joshua Overholt: Thanks, Harsher. As we've done in the past,
Harshita Agadi: we're reporting both GAAP and non GAAP numbers.
Giles Goodburn: The reconciliations are in our filings and in the appendix of the presentation. Let's discuss our key sales metrics on Slides five and six. We signed $152,000,000 of new business ACV in the quarter, one of the highest quarters in recent years. Up 11% versus Q4 2024. Our full year 2025 new business ACV was $517,000,000 up 6% versus 2024 Each quarter can be influenced by the timing of large deals, especially in the public sector segments. However, if you aggregate the ACV on a trailing full quarter basis, you can see we're trending in the right direction. On a full year basis, our Government segment new business ACV is up 50% and our transportation segment is up 14% versus 2024. While our commercial segment is down 15% versus prior year, the encouraging signs are that our new capability ACV, selling new products to our existing clients, up again this year by 60%.
Joshua Overholt: This is a cornerstone of our commercial go to market strategy
Giles Goodburn: which we are optimistic continue to reap rewards. Within the quarter, we signed 14 new logos and 20 new capabilities. And on a full year basis, signed 41 new logos and 87 new capabilities. New business TCV for full year 2025 was up 16% versus 2024, driven by our Government and Transportation segments. As Harsher mentioned, our qualified ACV pipeline remains strong at 3,200,000,000.0 which is up 4% year over year. The strength here is driven by our government segment, which is up 29% year over year. With an in year 2026 qualified pipeline almost double where it was at the beginning of 2025. Let's turn to Slide seven, and review our Q4 and full year 2025 P and L metrics. Adjusted revenue for full year 2025 was 3,040,000,000.00 compared to $3,180,000,000 in 2024, down 4.2%. We ended the year with Q4 adjusted revenue growth in two of our three segments. Our Government segment grew 1.8% and our 1.9%. Both segments shown positive momentum and positioned well for growth in 2026. Adjusted EBITDA for the year was $164,000,000 as compared to 124,000,000 in 2024. And our adjusted EBITDA margin of 5.4% up 150 basis points year over year and towards the top end of our guided range. We finished the year with a Q4 adjusted EBITDA margin of 6.5%, up two fifty basis points versus Q4 2024, and a sequential improvement of 130 basis points versus Q3. Let's turn to Slide eight. Review the segment results. Full year 2025 Commercial segment adjusted revenue was $1,500,000,000 down 5.9% as compared to 2024. The volume declines in our largest commercial clients drove approximately 40% of this revenue decline,
Joshua Overholt: The remaining top 10 commercial clients
Giles Goodburn: grew on an aggregate basis in 2025 versus 2024. Commercial adjusted EBITDA was 154,000,000 and adjusted EBITDA margin of 10.2% was down 30 basis points year over year. While we made good progress with our cost efficiency program in this segment, it wasn't enough to offset the impact of lower revenue. The five priorities Harsher outlined earlier will significantly accelerate the desired improvement in this segment. Government segment adjusted revenue for the year was down point 3% at $922,000,000 Our new business revenue outpaced lost business revenue, with the primary driver of decline being the completion or winding down of large implementation projects which we expect to replace in 2026. As I mentioned earlier, in the fourth quarter, our Government segment grew 1.10.8% year over year, We are confident this will continue. And the team is positioned to deliver full year 2026 revenue growth. Adjusted EBITDA was $221,000,000 with adjusted EBITDA margin of 24%, up two seventy basis points versus 2024. The drivers here resulted from our AI initiatives, and efficiency programs, resulting in lower fraud, labor and telecom expenses offsetting the implementation run offs.
Harshita Agadi: Transportation segment adjusted revenue was $6.00 £9,000,000 for the year,
Giles Goodburn: an increase of 3.9%. While adjusted EBITDA was 18,000,000 and adjusted EBITDA margin was 3% for the year, up 300 basis points versus 2024. Both revenue and EBITDA improvements were driven by strong equipment sales and a contract amendment in our international transit business.
Operator: Unallocated costs
Giles Goodburn: were $229,000,000 for the year, a decrease of 10.2% versus 2024 The improvement here is driven by the cost efficiency programs our corporate functions and a recovery of legal costs. Which more than offset significantly higher U.S. Employee healthcare claims activity activity. We continue to experience. Let's turn to Slide nine and discuss the balance sheet and cash flow. We ended the year with approximately $243,000,000 of total cash on balance sheet, and adjusted free cash flow was negative 130,000,000 Adjusted free cash flow in the quarter was positive $28,000,000 a little less than we had anticipated due to the timing factors I mentioned last quarter. The updates on these timing factors are we signed the contract amendments that were delayed by the government shutdown in Q4 and build the client for the work already performed. However, we now expect to receive this cash later in Q1 or early in Q2. Which accounts for the reduction in contract assets and the increase in accounts receivable on our year end balance sheet. Our net leverage ratio decreased to 2.8 turns this quarter which was a result of the higher EBITDA and our capital expenditure for the year was 3.4% of revenue in line with our expectations. We continue to make progress with our portfolio rationalization plan and relating to our full year 2026 guidance, As Harsham mentioned earlier, given his short tenure in the CEO role, and the five priorities he has outlined, you can expect a more wholesome update on both these items with our Q1 financial results in early May. That concludes the financial review of 2025. And I'll now hand it back to Harsher.
Harshita Agadi: Harsha? Thank you, Giles. I look forward to coming back on our Q1 to revisit these priorities and give you a very detailed update. Just so you're clear the initiatives would have already starting to take momentum well before our call. Next call. We will also be prepared to outline their expected impact on Conduent Incorporated's financial performance. As I continue forward, I would say Conduent Incorporated has a strong foundation meaningful client relationships, and a global team that knows how to deliver to our thousands of clients across the globe. What we are focused on now is execution.
Operator: Moving faster
Harshita Agadi: simplifying the business allocating capital with discipline, and holding ourselves accountable for results. Our direction is clear Our execution plan is now in motion. The actions we're taking are designed return Conduent Incorporated to sustainable revenue growth expanded margins and generate strong free cash flow that is sustainable. As we execute, we will continue to communicate transparently measure progress rigorously and earn your confidence quarter by quarter. I am truly energized by the opportunity given by the board and the support to lead from the front confidently We do have a good leadership team in place deeply committed to building a stronger more focused and more valuable conduit
Operator: for our clients,
Harshita Agadi: all our employees and without any doubt our shareholders. Ladies and gentlemen, that is the message for the day. And I think, if we can get the operator to open it up for questions.
Operator: Thank you.
Operator: Thank you. We will now be conducting a question and answer session. The first question is from Pat McCann from Noble Capital. Please go ahead.
Joshua Overholt: Morning. Thanks for taking my questions. Harsh, it's great to hear.
Patrick Joseph McCann: About your vision for the future of the company. I was curious when it comes to the the framework that you that you outlined of looking at business units and deciding whether to fix, or grow them I was just wondering about, you know, would you could you give any more color into what what metrics you would be looking at the various business units with to kind of make that that decision in terms of whether that's margin profile or the capital intensity of of a business unit. Anything like that that you know, any any more color you could give there in terms of how you will evaluate
Harshita Agadi: Thank you very much again, for the question and actually a very thoughtful question. So, there will be multi variables at play. And I'll just name a few which you named a few but I'll start with the CEO's very important job is capital allocation. We have a lot of capital going in. Are we getting the right rate of return? And where should we place our bets. So, what we have today is an accumulation of somewhere between fifteen and twenty small businesses covering not just the commercial side, but also the government and the transportation segments. So what happens is I'm looking for does the sector have unbelievable growth metrics. As an example, healthcare will continue to grow. Second, can we have decent predictable EBITDA margins? Sometimes when EBITDA margins are high we can be taken thinking it's a great business but anything that's not sustainable you run out of steam So, also need to think through how much capital needs to be allocated and what is the free cash flow that's coming in Finally, is there a moat around the business? Can somebody come in and replace us
Operator: easily?
Harshita Agadi: Or not? And can the moat be breached with the number one question of the day technology that is extremely dynamic at this time. And obviously driven by AI, Gen AI and all of the other variations. So to me, these are some of the factors. So I intend as quickly as our next board meeting to actually sit down with a matrix and say here's how we're looking at the world. And by the way, a lot of the I've talked to the top 10 investors and I have to tell you all of you have given me wonderful ideas to make sure I'm covering all bases. So those would be the factors.
Patrick Joseph McCann: Thank you. And I'll just ask one more question and I'll hop in the queue because I know there are others
Operator: Sure.
Patrick Joseph McCann: When it comes to, you know, the the company obviously has a, you know, number of different business units. Some of them are more closely related to each other. Some not as much. I was wondering what's your general is on on a a go forward basis on on which business you would keep when if you look at it from the perspective of certain businesses are have overlap or, you know, have their efficiencies because of the similarities of of where certain business units operate and that sort of thing versus the the more disparate portfolio of businesses that are you know, completely separate. I I don't if the question you know, clear, but
Giles Goodburn: No. I philosophy on trying to keep it all kind of in going in one direction.
Harshita Agadi: Yeah. No. No. It's actually not not only is the question clear, it's a good dilemma. And so I'll tell you what has been the case to some extent in the past and I'll move away from the past quickly. And I've seen this in other businesses that are going through a turn is let us be everything to everybody. Or let us be anything to anybody. We need to walk away from that and one of the things we as a team are doing is listing out things we will just not do. It is actually not just important what you do, you have to make a list of what you really will not do and refrain from it. It may look good. And I am off the mindset when I go to a client I will say this is what we can do and we're the best at it If you need this additional service, maybe we can do this but maybe we'll find you somebody that we might partner with. We have one big element within our company and that is very deep client relationships. We have a long list That to me is worth a huge royalty. So if I'm going to bring a partner to execute with me on a third or fourth service with a client, I may be charging for that relationship because I bring to bear the relationship management. So to me, I hopefully have answered the question but it will be case by case. But even in the case by case, we have to be very disciplined about it. We have 20, 30 different services but we're offering maybe one and a half, two services here completely different services elsewhere. That does not generate scale or efficiency. I'll go back to my previous days in another BPO We were doing tax returns only for partnerships and we got a request to do it for corporations.
Operator: I actually declined the business saying we're experts.
Harshita Agadi: At doing back office work for the next four big firms just for partnerships and not corporations that are public. So, you have to start having a little bit of silo mentality and actually viciously your value proposition and how you deliver it.
Patrick Joseph McCann: Thank you very much, Harshal.
Operator: Thank you.
Operator: The next question is from Ghoshri Sri from Singular Research. Please go ahead.
Harshita Agadi: Good morning, guys. Can you hear me? Yes, sure. Very clearly.
Giles Goodburn: Thank you. My question is on the commercial side. I know you laid out in the last call that the top 24 to 25 accounts
Gowshihan Sriharan: were growing and the and the new leadership would necessarily affect the 2026 performance As you sit here in Q4, any evidence you're seeing that revamped go to market feeding into the top of the funnel help you outrun that one client that was kinda lagging you behind?
Giles Goodburn: Yes, Ghanshi, good question. So, the top top 25 and the top 10 that I talked about specifically relate to the commercial segment. As you think about 2026, as I said in the remarks, we've got some really good momentum in both our public sector businesses Government grew for the first time in Q4 1.8%. And has got an extremely strong pipeline across all components of their product offerings. And a lot of that pipeline relating to 2026 opportunities. So we feel really good about the government segment From a Transportation is somewhat in the same boat. Some good good relationships there, a good strong pipeline and work that we've got that we can achieve and continue drive year over year revenue growth in that segment. Commercial is where we've got a little bit of work to do. We've reshaped the go to market strategy and and bought the teams closer to the clients so that we can we can better serve those client bases, especially those top 10, top 25 clients where, you know, lot of them we are we are growing revenue and we are expanding our capabilities with with that client base. So, you know, we know we've got work to do in there. I wouldn't anticipate growth necessarily in 2026, but that certainly make the right trajectory as we look forward out into 2027.
Operator: So
Harshita Agadi: here is, I'd call it good news. We are right now examining the leadership for commercial. When you look at mid sized companies three to $5,000,000,000 range, many a time the CEO may not be as close to the client as they should be.
Gowshihan Sriharan: I have this rare opportunity
Harshita Agadi: to have three of the leaders reporting into me directly right now. It's an easy answer to go find somebody to run commercial and I have some candidates outside as well as some candidates inside the company. It will end up having a single leader. But at this time, I am actually getting close to the processes. I'm getting close to the clients. I have now at least one phone call a day with a client. Some not happy. Some extremely thrilled. Some wanting more services, I have been active for many years in the CEO ranks I've been very careful in cultivating relationships across the board, across sectors and I will bring it to bear for my commercial friends and colleagues so we can generate more. The other good news is that the discipline around sales force the discipline around how we're approaching sales By the way, there is now
Operator: and I will not comment on the past
Harshita Agadi: because we'll run out of time but there is now a weekly regimen with me sitting in at the meeting where we only focus on revenue generation as it relates to commercial,
Operator: transportation
Harshita Agadi: and government as nobody from the administration side They're welcome to come in if they have time, but this is purely the sales guys and gals and the line management of the company focus. And even within commercial, we may choose to focus on a few sectors. We may not just go here and there, but where we are strong where we have name recognition, where we have strong references, we're definitely going to piggyback on that.
Operator: Okay.
Gowshihan Sriharan: Thank you for that call. Like you said, the commercial segment healthcare has been a particularly successful side of the business. Are you deliberately choosing to go with a smaller set of payers and health plans especially with your AI offering? Or or do you still think you need more logos here? I'm trying to understand whether the the HSP and other platforms scale better via depth of breadth from here.
Harshita Agadi: Yeah. I would say it's not as much as more logos. We have a lot of logos. I think it's going to be getting deeper into certain sectors where we already have a fair amount of market And so to me, you look at healthcare today, and you just look at Medicare spending, I'll just give you round numbers. It's probably a trillion. No. No. Maybe even 4 or 5,000,000,000,000. It's a large number. In fact, healthcare spending in The U.S. This I know for a fact is now the third largest economy in the world after United States and China. So to me focusing on that heavily and participating in it helping make a difference to our commercial clients and our government clients simultaneously. If you look at even the big beautiful bill, it has brought in a lot of stringency on re reclassifying changing eligibility states are a little lost and we are their solution to simplify how the big beautiful bill applies whether it's Medicaid, whether it's Medicare, whether it's social security eligibility. So I think we're going to be more focused than less focused.
Operator: Thank you for that.
Gowshihan Sriharan: And on the government side, talked about margin expansion from AI driven fraud cost reduction reduction and then like and you said direct expense and Medicaid as early showcases. As you scale those solutions, are you leaning more towards a gain share economics with clients or fixed price movements? What does that mean in terms of margin improvement and revenue in 2026?
Harshita Agadi: Sure. So I think first of all, one risk we do have is in the world of AI, some clients may wanna take it in house. But it may not be that simple. So I'm gonna talk about a few things as it relates to let us say an AI company versus
Operator: Conduent. And I'm going to say this is a small
Harshita Agadi: $25,000,000 revenue AI disruptor. What we have is a strong distribution network deep client relationships, operations know how,
Patrick Joseph McCann: proprietary data,
Harshita Agadi: and there are large switching costs.
Operator: But
Harshita Agadi: the disruptor may bring a solution that might lower cost and increase accuracy. So you know, one of the mantras we have in the company is let us not behave like a large company. Let us not have a big ego. Let us partner with small disruptors who might bring the solution to increase accuracy, lower cost, and yes, we might
Gowshihan Sriharan: share some of the savings with the client
Harshita Agadi: in this case, the government or it could be commercial. But in addition, we may not use the same AI disruptor let us say on a healthcare client that we might use in transportation. The gentleman who runs transportation will have the leeway to partner with a different AI disruptor. What these AI companies are thirsting for is a bank of clients.
Gowshihan Sriharan: They don't have that, but they have the technology.
Harshita Agadi: I'm not going to sit and innovate these things from scratch we don't have that much time and leeway. Because they're going to be nimbler and faster how do you partner with them commercially and sharing the economics will be the way to go.
Gowshihan Sriharan: Excellent. Thanks for that. And I'll just make this, I'll be a little cheeky at As you walk us through the 25 ACV and you expect that to expect to you've alluded to convert that into revenue with speed. Where are you most confident by segment and your exit EBITDA margins were 6.5 for Q4. Full year. As you look into 2026, should we think of it as a realistic margin once all the cost actions and portfolio moves up? Have been embedded?
Harshita Agadi: Okay. So here's how I would say. Clearly, we haven't given you guidance. Which we will in Q1. But having not given guidance, I'll give you a sense first on how the businesses are growing. Second, what I believe should be steady state margins. And when I say steady state, it could be in three years, it could be in two or we might be faster, it depends. So the government sector for us is growing smartly and doing well and has come out of the gates quite strong. The transportation sector has potential and actually is also strong.
Operator: And
Harshita Agadi: positive. Commercial needs a turnaround job and the three individuals running it are on it like a rash. Let me assure you. Now coming to margins, in a business in our sector, which is BPO, KPO, I think at a minimum we need to start really clipping at between an 810% margin in the medium term, maybe even higher. And that potential exists. Today, I can see and I'll use
Gowshihan Sriharan: a colloquial phrase
Harshita Agadi: low hanging fruit that I can see maybe one of the few people because I'm new.
Gowshihan Sriharan: Whenever you're new, it looks clearer.
Harshita Agadi: As you get older into the company, the complexity in your mind increases. So when I don't have past memory, I'm actually at the edge of saying, oh, we can do ABC so I think there is a fair amount of cost takeout that and by the way, it's not just me, to the credit of the senior leadership team they have come to me without me challenging. Have come to me and said, there's cost here, there's cost here, there's duplication of efforts, So, think the margin should increase. And it's not just the margins, we have to convert our EBITDA and I'm not talking adjusted EBITDA, convert EBITDA to free cash flow. Which means how do you collect how fast do you collect, are you tracking DSO, are you tracking DPO, And are you converting that into eventually positive free cash At $3,000,000,000 you have scale, you should be able to.
Gowshihan Sriharan: Thank you, gentlemen, for taking my questions, and good luck, Harsh.
Operator: Good Thanks, Gaushi.
Harshita Agadi: Thank you.
Operator: The next question is from Matt Swoop from Baird. Please go ahead.
Operator: Good morning, Harsh, Giles and Josh. Good morning.
Joshua Overholt: Harsh, you mentioned a couple of times the sort of moat around the business
Chris Sakai: Can that moat be breached by technology, AI? The impact that these AI disruptors are having? Obviously, that's been the talk of 2026 so far. Can you give us some comfort? How much of your existing revenue stream do you think is exposed to AI disruptors or other sort of technology threats
Harshita Agadi: Having been here less than thirty days, inside the company, I would humbly say I cannot answer that question right now, but here's what I can tell you. That I would say safely rough guess 15% to 20% of our business may be exposed to it but here is the problem It is a moving target technology, particularly AI is dynamic. And therefore I think we're going to need to get ahead or partner with people who keep us ahead in the arms race if you will of AI. So to me is the risk today No. Can the risk keep increasing?
Operator: Yes.
Harshita Agadi: Therefore we're gonna need to move quickly is what I would say or else our clients will move quickly. Now the positive is I would say the commercial segment will get disrupted maybe a little faster than transportation or government. So, I'm just going to give you a tip of the iceberg. In transportation, we have a new product It's called Fairgate. It's automated It's precise. And it is safe and that is now being installed across the entire New York subway system that tests are on and we're gonna start rolling this out. And when we roll it out, and we get this right, this will also move into other geographies. So this will make a big difference. As an example.
Giles Goodburn: I think as well, Matt, to add to that, you know, clearly, is right. There's probably about 15% that that at risk in the commercial space. So I think we're securing that moat a lot tighter with some of our own AI capabilities as well. Right across the platforms that we have, whether it's in commercial you know, using AI to streamline our benefit enrollment environments for our clients in there. Their employees. Harsh had touched on some of things that we're doing for for tolling as well as some of the the capabilities we've got in license plate recognition and occupancy detection. And then we've talked about all the fraud components that we've got in that government space as well. So, we're shoring up the moat of of some of the areas that we've got around the company as well.
Chris Sakai: I appreciate that guys. That's helpful. Charles, maybe one for you as you sort of bridge the gap in CEOs. We've heard a lot about these 2025 exit rates We've heard a lot about the portfolio divestiture plan. Can you help us with where that stands now? For example, the 2025 exit rate free cash flow was going to be 60,000,000 to 80,000,000 Obviously, we're well, well into the negatives on free cash flow. Should we think about modeling going forward? I know you're not giving full guidance given that Harsh has just started. But vis a vis the 2025 exit rates we've heard about for a while,
Giles Goodburn: Yeah. How do we think about 2026? Yeah. So I think, you know, we clearly we we set those we set those targets about you know, three years ago and they were aspirational targets. You know, we're we're making we are making progress towards some of those targets. You look at government and transportation. And, you know, we've done well and got there from a revenue growth standpoint. We've still got work to do in in some of the areas. You know, we would still I'd say we're still target a sub one time levered business as we look out into the future. And and that's gonna come from, you know, some of the divestiture activity that Harsh has alluded to. I think you'll see us accelerate with speed that some of the cost initiatives that we've got going on right across the organization, whether it's in the corporate functions, technology, or improving margins in the business. And just better discipline around our working capital. We did have a couple of large implementations out there that we didn't quite get to the place where we wanted to get to by the 2025. That had a fairly significant impact on our cash generation and given where we landed at the negative numbers that we posted for the year. Now that cash hasn't gone away. We're going to receive it in Q1 or early Q2. But we've got to have better discipline on how we're on some of these larger projects. So I guess my answer is the destination hasn't changed. We're still striving towards improving EBITDA margins on a sequential basis. We're still striving to get to profitability and free cash flow generation. I think Harsh are coming in is really going to push us to accelerate that as quickly as possible and that's the journey that we continue to be on.
Chris Sakai: Do you think free cash flow can be positive for 2026?
Operator: That's
Giles Goodburn: a I can answer
Harshita Agadi: Here's how I would answer it. We are obviously we ended '25 as Jai said negative 01/30. There's there's a fair amount of work but I'm gonna give it a shot. But again, I'm not giving guidance. And I will have guidance. I will have very precise free cash flow goals. And if you notice in my script, in my message, in my dialogue, I've mentioned the word free cash flow at least 10 times. I am fixated on it. So we're gonna try really hard but definitely the turn is coming. You you see the progression.
Chris Sakai: Okay. And and and how about you guys have always historically had this portfolio rationalization slide in the deck that's obviously out for the moment. The Phase two proceeds that were targeted before were up to $350,000,000 know you I think you had that as priority number four, Harsha. Where does portfolio rationalization timing set and maybe magnitude versus what you what we've heard in the past?
Harshita Agadi: Okay. So first of all, I have to thank you very much
Operator: for
Harshita Agadi: a statement you made. You called it priority four. I should have said those six priorities do not have a sequence you have to run and chew gum at the same time, and we have a very good leadership team that's capable of doing So having said that, portfolio rationalization is a very high priority There are some things in motion that were put in motion before I took over as CEO. I was the chairman for a very short while, I was familiar with it.
Gowshihan Sriharan: If anything, as Giles alluded to, he he has hit the acceleration
Harshita Agadi: on the rationalization, but what I'm also seeing is a thorough review of the entire portfolio and looks like we may have some other opportunities that we're gonna work on simultaneously. We have
Gowshihan Sriharan: bankers in place
Harshita Agadi: We may have maybe more bankers so that we can kind of swiftly go through this So that I'm not waiting a year from now saying, oh by the way, we're still on portfolio rationalization. The faster we get it done, the more we focus on our base business. So, the folks who are in line management they're not in the middle of portfolio rationalization exercise. They're focused every day. I have said to them, assume you own the business until that last day of transfer. We don't know if we will 100% for sure sell. Meanwhile, the group that's focused inside M and A and finance are fixated on portfolio rationalization. So, we need to do this simultaneously and to me it's not number four priority That's why I was appreciating you. To pointing that out.
Chris Sakai: That that is helpful. Thanks. And just one one last quick one if I could squeeze it in. With your bonds trading down into the low 70s, would bond buybacks in the open market fit within your capital allocation?
Harshita Agadi: Well, you've asked another good question. So to me, I think making sure we delever first
Giles Goodburn: a little bit
Harshita Agadi: and get our debt lined correctly. And I think the trading of the bonds has opened up in my opinion an opportunity that may be more
Operator: lucrative
Harshita Agadi: than buying our shares back. So to me, it's a touch and go, but again bankers are reasonably smart So, I'm going to have them run cross mathematics to give me an option each time as to each dollar of allocation. Right now, where it's trading the yield is rather attractive. And saying that we will go into open window fairly soon here as a typical public company So, I as an investor, I'm also in my head saying, do I buy more shares, do I buy more bonds. So that excitement is actually percolating in my little brain right now.
Chris Sakai: Thank you guys very much.
Giles Goodburn: Thank you. Thanks, Matt. Thanks, Matt.
Operator: Next question is from David Nierenberg from Nierenberg Investment Management Company. Please go ahead.
Joshua Overholt: Arsha, it's wonderful to be working with you again.
Harshita Agadi: Nice to hear your voice, David. You definitely surprised me sitting in the West Coast.
Patrick Joseph McCann: It's our third time together in ten years. I imagine that most
David Chen: people on the call don't have the depth of experience that I've had with you. But I've already bought a million shares in in confidence because you are a a great leader. A great businessman, a great salesman, a diplomat, a tough guy, and you have a global network across multiple industries to, access to the benefit of this company. I am very excited to be back with you here. And looking forward to you. You are, making shareholders a great deal of wealth just as you have done since you succeeded me as chairman of the board of Flowtech Industries. Looking forward to working with you Grateful that you were here. Wishing you all the best.
Harshita Agadi: Thank you very much, David. And I appreciate one your support not just verbally but through your pocket of backing our shares and buying
Gowshihan Sriharan: I'm actually taking it in as you're saying a million shares
Harshita Agadi: So I need to have more shares than you. That's pretty clear. The good news is that the board has
Gowshihan Sriharan: structured my compensation heavily on share price
Harshita Agadi: that dictates vesting, but doesn't doesn't stop me from buying the shares as soon as open window opens up. But I appreciate your support immensely. Thank you.
Operator: My pleasure.
Operator: This concludes the question and answer session as well as today's teleconference. You may disconnect your lines at this time. Thank you for your participation.